Operator: Welcome to the Second Quarter 2021 Financial Results and Business Update Conference Call for Yield10 Bioscience. During the call, participants will be in a listen-only mode. The presenters will address questions from analysts today. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the conference call over to your host Yield10, Vice President of Planning and Corporate Communications, Lynne Brum. Please go ahead.
Lynne Brum: Thank you, Maria, and good afternoon, everyone. Welcome to Yield10 Bioscience second quarter 2021 conference call. Joining me on the call today are President and CEO, Dr. Oliver Peoples; Vice President of Research and Chief Science Officer, Dr. Kristi Snell; and Chief Accounting Officer, Chuck Haaser. Earlier this afternoon, Yield10 issued our second quarter 2021 financial results. This press release, as well as slides that accompany today's presentation are available on the Investor Relations Events section of our website at yield10bio.com. Let's now turn to slide 2. Please note that as part of our discussion today management will be making forward-looking statements. These statements are not guarantees of future performance, and therefore, you should not place undue reliance on them. Investors are also cautioned that statements are not strictly historical constitute forward-looking statements. Such forward-looking statements are subject to a number of risks and uncertainties that could cause the actual results to differ materially from those anticipated. These risks include risks and uncertainties detailed in Yield10's filings with the SEC. The company undertakes no obligation to update any forward-looking statements, in order to reflect events or circumstances that may arise after the date of this conference call. Now, I'll turn the call over to Oli. 
Oliver Peoples: Thanks, Lynne. Good afternoon everyone, and thanks for joining our call. Since the start of 2021, we have made strong progress advancing Yield10's business. Today, I'll provide an update on our progress, and Kristi will highlight our recent R&D accomplishments. I'll then review our target markets, the second quarter financials and summarize key milestones for 2021 and beyond, before we open the call to questions. Now, let's turn to slide 3, the Yield10 Trait Factory and business model. Data generated from our Trait Factory field trials with Camelina enables two distinct revenue opportunities, improved Camelina varieties for our Camelina product business, and trait licensing to major seed companies for other crops. Today, I'd like to focus on the key accomplishments against our strategic goals to use Camelina, as a platform crop to produce feedstock oils, EPA+DHA omega-3 oils, PHA bioplastics and protein meal where we estimate a combined product revenue potential of over $4 billion by 2030. Let's now turn to slide 4, key accomplishments. During this quarter, we continue to develop and execute our Camelina business strategy. This includes, reaching out to potential partners in the areas of fuel, food and bioplastic to explore ways of working together to bring forward products produced in Camelina. On the technology front, we are executing our field trial program, including field work in Argentina, as a first step to access the market for aquafeed in Chile. These activities across the US, Canada, and Argentina are progressing towards harvest. To support our commercial efforts, we plan to build a network of contractors for seed scale-up activities, as well as for seed crushing to produce oil and meal for customer sampling. We announced two new hires in regulatory affairs and in business analytics and operations in June. We will continue to add key hires in particular to lead our seed operations and build out our commercial team in the months ahead. Our crop science team led by Kristi has expanded our trait portfolio with the discovery and initial testing of four new oil content traits using our GRAIN platform. In January, we reported achieving a proof-of-concept milestone for producing milestone for producing PHA bioplastic in field grown Camelina and seed scale up of the best lines are ongoing as part of this year's field program. In the first quarter we strengthened our balance sheet to extend our cash run rate and achieve value building milestones into 2023. US patents have recently been allowed or granted for two in-licensed traits, including the C3007 oil content trait and the Camelina Omega-3 DHA+EPA oil trait and a US patent for our C3006 a synthetic biology trait was granted in July. For an update on our R&D priorities, I'll now turn the call over to Kristi. 
Kristi Snell: Thanks Oli. The team is making good progress in seed scale-up and field testing, while continuing to deploy new traits into our Camelina platform. Let's turn to slide 5. Earlier this year, we engaged a leading US seed company to perform seed scale-up of our CRISPR edited E3902 oil content line, our spring doubled haploid line and a disease resistant elite Camelina line. Seed from this work will enable additional seed scale up in the fall winter 2021-2022 growth season. We are working to secure contracts for this further scale-up of seeds. In July, we announced that we had completed planning of our 2021 field trial program in the US, Canada and Argentina. We have a broad range of Camelina lines in the trials including elite germplasm yield and oil traits and PHA Camelina lines. Harvest is expected to occur in the weeks ahead. Work to enhance our elite germplasm continues with progress recently made towards the goal of incorporating herbicide tolerance and disease resistance into our lines. Our plan is to develop robust platform varieties for nutritional oils and PHA traits. In April USDA-APHIS confirmed that our new CRISPR edited C3007 Camelina lines are exempt from regulation under 7 CFR part 340 under the SECURE Rule, a new crop regulatory framework in the US. We continue to support R&D at Rothamsted Institute on omega-3 Camelina lines and support our partners evaluating traits and other commercial crops. Finally, it is also a priority to retain our leadership in trait discovery. Yield10 researchers have discovered four new oil content traits using the GRAIN platform. For more on this let's turn to slide 6. There is a lot of momentum around vegetable oils as there is increasing demand and rising prices for their use of food and fuel. We used our GRAIN platform to search for transcription factors or TF to increase seed oil content in Camelina. We mined data to create a ranked list of 211 transcription factors. Using our methodology transcription factors known to impact oil and/or seed yield such as WRI1 and MYB56 were observed in the top spots of the ranking validating our approach. We identified a series of novel genes representing IP white space. There were four transcription factors that we identified as the most relevant in least studied. Our work has shown that over-expression of C3020 increases seed oil content by 10% in greenhouse studies. Given this early but strong result, we are moving forward with C3020 to produce pure field-grown seed in the 2021 field test program to enable further study of the trait. In addition traits C3019, C3021 and C3022, represents CRISPR editing targets and work is underway to deploy and test C3021 in Camelina as well. I want to thank the team for all their efforts advancing us to meet our R&D objectives in 2021. I'll hand the call back to Oli. Oli?
Oliver Peoples: Thanks for the update Kristi. The team is doing excellent work, which we believe will enable our Camelina to become the benchmark for industry and a new industrial crop. Now let's turn to slide 7, the opportunity to establish a new major crop. Today Camelina is grown on a small scale for niche applications. Drivers in the oil market have recently renewed interest in the crop. We've been investing in this crop for over 10 years as a platform for evaluating traits for seed yield and oil content. As a result we have identified traits that improve seed oil content for both. We believe there is a clear path to deploying herbicide tolerance and pest resistance to access large acreage in North America. We also see the opportunity for using Camelina as a winter variety and as a cover crop. Therefore, we believe there are many distinguishing features to establish our Camelina as a successful revenue-generating industrial crop at a time when interest in biofuel feedstock is growing. Now let's turn to slide 8, elite Camelina strategy and current activities. Our commercial strategy in elite Camelina is capital light one using contract farming, seed crushing and customer offtake agreements. We've made good progress towards developing Camelina lines with herbicide tolerance and disease resistance. For example, we are currently evaluating non-GMO lines and a GMO herbicide product lines in development. We also acquired and are testing a downy mildew disease resistant Camelina variety. Now let's turn to Slide 9, elite Camelina for renewable diesel. According to The Wall Street Journal, production capacity for soybean oil in the US is expected to grow to 935 million gallons in 2021, nearly double from where it was last year. The growing demand for soybean oil as a renewable diesel feedstock has driven soybean oil prices to decade highs and led to shortages in many areas of the world. These challenges are felt across the entire supply chain. There have been media reports indicating that AGM, Cargill and the oil company Phillips 66 are investing in soybean crushing plants. We believe in Phillips 66 case, this is to secure feedstock oils for biofuel. With favorable tailwinds in the renewable space, we see the potential for Camelina to demonstrate its value potential, as a new feedstock oil for renewable diesel production. Really cropping with soybean, include double oil production per acre, creating the potential to provide oil for fuel and increased protein meal production for food. We are reaching out to few players in this space to engage in discussions around off-take agreements. Now let's turn to Slide 10, omega-3 oils from nutrition and sustainability. We believe there is a growing demand for omega-3 oils, which are essential for human health and wellness and the corresponding need to produce these oils sustainably. Camelina seed has been genetically programmed, to produce a vegan fish oil replacement with combined EPA and DHA fatty acid levels of over 20% in the oil. The best Camelina lines have been successfully field tested in multiple geographies and multiple positive aquafeed and human studies completed. Yield10 is supporting ongoing development work conducted by Rothamsted the developer of this technology and is working on a strategy for regulatory approvals and commercialization in South America. Now let's turn to Slide 11. Opportunities in the fish oil and omega-3 markets. The graph on the left of the slide, illustrates the ongoing rise in the price of fish oil as production volume for wild-caught fish remains flat due to overfishing. Hardly a day goes by, without another report of massive Chinese fishing fleets illegally harvesting fish across the globe. So we believe, this problem is only going to get worse. Land-based production of omega-3s is a potential solution for this market. The table on the right compares Camelina EPA plus DHA omega-3 product to the competitor products. Two competitors using canola as a platform to produce either DHA or EPA that's not at the same time in the same plant. Other competitors are also producing omega-3s from allergy fermentation, an approach that does produce both DHA and EPA but at a very high cost. The Camelina produced omega-3 product has clear potential to be the best-in-class across quality and composition with around 20% combined DHA and EPA omega-3 plus the third omega-3 ALA and represents a sustainable way to meet the growth anticipated in this market. Now let's turn to Slide 12. The omega-3 business plan development. Our market entry strategy for omega-3 oil is focused on South America, where Chile has about 30% of global farm and salmon production and a goal to move feed away from -- feed production away from harvested fish. We are working with third parties with expertise and contacts related to contract farming in the salmon industry. We are evaluating the use of elite Camelina to provide the initial footprint in the aquafeed market based on using it as a precursor to launching an omega-3 oil, outreach is ongoing to commercial partner prospects. Now let's turn to Slide 13. Plant-based bioplastics. As Kristi mentioned, we are scaling up our current PHA Camelina lines and this work will support product prototyping. We are developing a regulatory strategy and identifying prospects for business development along the value chain. We are also continuing second-generation line development, with the goal of increasing seed bioplastic to 10% to 20% level. We believe that this is a very attractive market and biodegradable PHA produced from plants may represent an excellent solution for compounders, brand owners and consumers as well as the environment. Now let's turn to Slide 14, establishing the value chain. To access these markets we'll need to establish an identity preserved value chain, based on contracting seed production, contract farming and seed processing into protein, oil and bioplastic pellets. Because of the end product areas, we see a variety of partner prospects, seed companies, biofuel companies, plastics, packaging, brand owners and bioplastics companies. Now let's turn to slide 15, the market opportunity for Camelina products. We believe there is about $4 billion annual revenue potential for Camelina products by 2030. Feedstock oil could be grown in 0.5 million to 2 million acres, with a market of $150 million growing to $1 billion for oil and meal, depending on crop yields. We believe the acreage for omega-3 oil will be in order of 300,000 to 700,000 acres with a market potential of $180 million growing to over $600 million by 2030, assuming a 60% market share. And for bioplastic, we expect a crop of 2 million to 4 million acres with 2030 revenue potential of $1 billion, growing to over $3 billion based on sales of bioplastic, feedstock oil and protein meal. The PHA bio-Camelina bioplastic opportunity is quite unique, given the scale and growth of the petroleum plastic production. Over half of this is being for single -- is being used for single-use plastic items with a lifetime in use of less than six months. Sadly, and all too often, after consumer use these plastics end up in environment, where they can persist for hundreds of years. Based on our history, we know that PHA bioplastics could functionally replace around 50% of the single-use plastics used to date, an estimated $200 billion market opportunity, growing at 4% per year. Our goal is to develop PHA Camelina as a disruptive technology, offering costs in line with feedstock oils. We are now taking the first clinical steps towards commercial development, but it will still take some time. Now let's turn to slide 16, licensing opportunities. Currently, we have nonexclusive research license agreements in place with Bayer, GDM, Forage Genetics and Simplot to assess some of our traits in different crops. This year, we are completing our initial field test with canola edited in our C3007 trait, based on achieving a 4% seed oil increase in the greenhouse. Going forward, we plan to seek partners for our traits in canola and corn to focus internal resources on Camelina development. Now let us turn to slide 17, financial results. We ended second quarter 2021 with $20.6 million in cash, cash equivalents and investments. During first quarter 2021, we raised net proceeds of $12 million from a public offering of common stock, as well as a $3.9 million from the exercise of warrants, better aligning our balance sheet with our business strategy. We have no debt. Our net operating cash usage was $2.1 million for the second quarter of 2021. We expect our cash on hand, together with expected revenue from our current government grant to support our operations into early 2023. We continue to estimate that our net operating cash usage for the full year of 2021 will be within the range of $10 million to $11 million. This includes estimates for our contracted and planned seed scale-up activities, as well as planned hires and other support and business development, regulatory affairs and seed operations, as we direct this investment towards executing our business plan. Let's now review the second quarter 2021 operating results. The company reported a net loss after taxes of $3.1 million for the second quarter of 2021, compared to a net loss after taxes of $1.8 million for the second quarter of 2020. Total research grant revenues in the second quarter of 2021 were $174,000 versus $221,000 in the second quarter of 2020. In the second quarter of 2021, R&D expenses were $1.7 million compared to $1.2 million in the second quarter of 2020. G&A expenses were $1.6 million in second quarter 2021 as compared to $1.2 million in second quarter 2020. For the six months ending June 30, 2021, our net loss after taxes was $5.7 million or $1.23 per share, as compared to $5.4 million or $2.95 per share in 2021. For more details on our financial results, please refer to the earnings release. Let's now turn to slide 18, upcoming milestones. In 2021, we will continue to focus on the following milestones: executing our 2021 field testing and seed scale-up program; expanding our elite Camelina germplasm collection with our internal work as well as acquire rights to lines with desired performance profiles; progressing the business plan for Camelina products, including advancing the commercial launch plan for Camelina omega-3 oils in South America, where we have recently engaged a seed service provider and business development support; broadening our commercial capabilities, particularly in seed oil operations to complement our recent hires in regulatory affairs and business development. As we increased the focus on the Camelina products business, we see more opportunities to secure strategic industry collaborations from value chain partners. Based on industry feedback, we believe there will be an increasing demand for trait gene target identification tools like our unique GRAIN platform as well as novel trait genes for genome editing in major crops. Securing revenue based on generating commercial trait licenses and expanding our intellectual property portfolio, which is crucial for a small company and the three patent grants in 2021 are integral to this effort. With that I'd like to turn the call back over to Lynne for questions.
Lynne Brum: Yeah. Thank you, Oli. And Maria, we're ready for questions.
Operator: [Operator Instructions] Our first question is from Anthony Vendetti with Maxim Group. Please proceed with your question.
Anthony Vendetti: Thank you. Yeah. I was wondering Oli if you could talk or Kristi about the C3023 a little bit more about that via your GRAIN platform and then next steps for development and how does the 10% increase in oil content compared to other available options on the market?
Oliver Peoples: Yeah. So I'll take that. And I can actually having not been directly involved in the science, I mean, hats off to the GRAIN team and the science team line by Kristi. Now literally using that platform we're able to pull those four targets right out of the ether space as far as I can tell. And so literally we have a sort of a computational analysis and they're able to get to these targets switch in each case of the four we selected and tested we are actually seeing an impact a positive impact for C3020 a 10% oil increase. And just as a reminder a 10% seed oil increase in canola if you were to deploy that across the canola acreage would be the equivalent of a 10% yield increase because of the higher value of the oil. So it's actually quite remarkable. We didn't see any deleterious effect on seed yield in the greenhouse, but obviously we'll need to do field tests to confirm that type of thing. So I would say from what we've seen with E3902 genome edited line of Camelina, which is already regulatory approved we've seen essentially a 4% to 5% seed yield increase. In the canola C3000, we've seen a 5% seed yield increase -- seed oil increase. And so with this one, this is the highest we've seen. How it compares to other companies? I'm not sure we really know. But certainly, it's impressive at this stage recognizing that it still has to be evaluated in field trials.
Anthony Vendetti: Sure. Sure Oli. And thanks for providing also the opportunity in each of the categories for Camelina platform bioplastics oil and seeds. Seeds obviously the largest potential $4 billion by 2030. But as you look out here in the near term, what do you believe is your most immediate commercial opportunity as we stand here today?
Oliver Peoples: Yeah. So I think we're seeing really two areas. First of all, I would say that the uptick in commodity prices and we're definitely seeing a lot more interest and activity around the ag companies for new traits. We're also hearing that there is a very consistent theme in some of our conversations with some of these players, which is they've all invested very heavily in genome editing and they're actually running into the problem that actually we foresaw back when we started this which is a wonderful tool and actually it's been terrific for Yield10. But ultimately, it comes down to the target genes. And I think the industry as a whole is still struggling with new gene targets, particularly where you'd want to use combinations of genes to improve our boost yield or performance. And so we're definitely seeing a growing interest in that area. We are definitely seeing interest in -- more interest in some of the traits that we already have in hand. For the second area and I think nearer term and it's one where we've been very, very judicious and I would say conservative in our approach, which is there's definitely a growing demand for biofuel feedstock. There's no question about it. I have a long history in this renewable space. And so I've seen these things come and go. So our approach there is really to look for partnerships with folks would be in the biofuel space. I mean Yield10 is not going to become a biofuel player. But certainly we could be a feedstock supplier to that area from our Camelina – from our elite Camelina in the near-term and in the longer-term from the PHA Bioplastic Camelina, where the oil is actually a cool product from bioplastic production. So we're seeing a lot of activity there. Again, there's no guarantees in any of this. But there's a third thing that's beginning to kick in, which is, we're also seeing a lot more attention probably based on political changes and also coming out of the sort of the COVID recession in various areas around essentially government funding for innovative technologies around improving the sustainability of agriculture, producing new agricultural products, increasing the availability of feedstocks and all of it really targeted at reducing carbon emissions. So we feel we're – the timing is a good time for Yield10. We have a lot of proof points in hand. We have a great team. We're now building the commercial organization but next steps are really to begin to flush some of these out into arrangements and agreements with third parties.
Anthony Vendetti: Okay. Great. That was very helpful. Thank you. I’ll hop back in queue.
Lynne Brum: Thanks, Anthony.
Oliver Peoples: Thanks, Anthony.
Lynne Brum: Maria, we have our next call – next question.
Operator: Yes. Our next question is from Ben Klieve with Lake Street Capital Markets. Please proceed with your question.
Ben Klieve: Thanks for taking my questions. First one, with regards to the research collaboration with Forage Genetics, wondering if you can kind of provide any detail on what we can potentially expect here when that agreement here expires? Is there a date certain that we're expecting an expiration? What really – are we potentially going to be getting out of this collaboration here? And do we know kind of when roughly we're going to learn more about next steps with Forage Genetics?
Oliver Peoples: Yes. So Kristi in particular has been the one primary contact with Forage Genetics. I do know they're moving forward with them. We haven't – we do have a confidentiality agreement as part of that arrangement. And so we can't really go into any real details but we do know that moving forward. We also know that they're very interested in one trait in particular but we can't really share that information with anybody.
Ben Klieve: Okay. And then if you can't answer this that's fine. But then I guess then regarding dates is this a – correct me, if I'm wrong, was it like a 2.5-year research collaboration I believe. Is there a date certain that this expires in like October I believe it is, or is it kind of a moving target for one we can expect to maybe hear development from them?
Oliver Peoples: We're all – I mean again, I wouldn't – not specific to this arrangement but the entire ag sector is experiencing, no doubt experiencing some challenges around weather conditions and growth conditions this year. And so what we won't do is prematurely end that relationship if they want to continue provided they're making good progress in achieving what they need to see to execute a commercial license. So we'll have a conversation with them and we'll do what's right in terms of optimizing the value of the trait moving forward. Obviously, we're pleased that they've invested quite a lot in developing this in sorghum and they've been very good in terms of reporting to us. So we'll reciprocate because I think both parties want ultimately a successful trait.
Ben Klieve: Okay. Fair enough. We'll stay tuned there. And you actually kind of led into my next question here regarding field conditions. A couple of years ago trials in the upper Midwest and Canada were kind of a washout for you or they were for everybody. The opposite problem is happening today. Can you talk about kind of the status of your field trials and how comfortable you are with growth in the field? Just any update regarding the impact of weather so far would be great?
Oliver Peoples: Yes. So I would say – I mean we won't really know that until such times as we've analyzed the harvest. But I guess what I can say is we are getting ready to harvest these various field trials. But the most part in terms of water availability, we have been using irrigated sites so we can essentially mitigate that issue. The one challenge I think that I think is going to be still an unknown really is around heat because the Pacific Northwest and that includes Saskatchewan Montana Idaho did receive very, very high heat levels this year. Fortunately, Camelina does touch floor earlier than canola. We do know that canola has had some real challenges this year. And Camelina does appear to be a much hardier plant with regard to that. So we do believe we'll be able to generate data. We are planning to harvest including our Idaho trials for the scaled up PHA Camelina lines. So, we'll wait until we have the data and report out but we do believe we're going to be reporting data. 
Ben Klieve: Okay. Perfect. That's encouraging. 
Oliver Peoples: Great credit to the team for achieving that it's not easy. 
Ben Klieve: Yes. No, I'm sure that's true. And good to hear that you do have access to irrigated land for these trials. So very good we'll stay tuned there as well. Last one for me and then I'll get in queue. Regarding C3020 I'm really curious kind of what your objective here is with this trait. I mean are you looking to -- because you are focused on Camelina with this trait specifically is this going to be something that you hope basically to develop for your own internal purposes here as you ramp your Camelina business, or is this a trait that you are developing here to try to license out similar to C3003 or 3004 etcetera? Any help there would be great. 
Oliver Peoples: Ben, the goal actually is both because one of the interesting things about the platform is I mean these are things that the industry in fact the entire ag science community hasn't really looked at. And so that's really tribute to the power of this GRAIN tool. So one of our -- sort of the way we've kind of structured the trait factory is, if we get something that works in Camelina because of our focus in the Camelina products business it's relevant to our business and that's a big plus. However, as we generate that data particularly field data we do believe there will be licensing opportunities for those traits in other crops. And we'll obviously seek to do that and essentially get it into their hands similar to the types of arrangements we have in place. And we certainly have interest in some of our traits in other crops. 
Ben Klieve: Got it. Thanks Oli. I just want to talk about this, I think, it’s a good place to leave. I will jump back in queue. Thanks for taking my question.
Oliver Peoples: So Ben, thanks. Good to talk you guys in a while. So good to hear your voice again and appreciate the question.
Ben Klieve: My pleasure.
Lynne Brum: Maria back to you.
Operator: [Operator Instructions]
Lynne Brum: Maria we'll move right ahead then.
Operator: Okay. Great.
Lynne Brum: Okay. Thank you. So Oli before we wrap up we have a question that came from a shareholder and here goes. The shareholders saw the article that you contributed to Biofuels Digest which was published last week indicating that Yield10 could make a good partner for an oil company. And so here are the three questions the shareholder asked. I'll start with the first one. Is Yield10's strategic objectives to align with major oil companies as a source of capital or funding?
Oliver Peoples: Yes. So it was good to get these questions from the shareholders. And obviously we're pleased that he's been an investor in the company for some time. In terms of our strategic objective is to build a very high-value high-growth Camelina-based products business one product of which will obviously be feedstock for the renewable diesel space. So that's our strategic goal as a company. However, given the growth and interest in essentially feedstock oils and the involvement of many of the major oil companies in this space for the first time particularly around biodiesel, we do feel that we represent a really interesting opportunity for one of these companies to essentially secure production acres given how far along our Camelina platform is compared to others and given the proof points we've already achieved in terms of oil content and yield in that particular crop. So we do think that we would make a good partner for the oil company. But we also as a company are going to be very shall we say diligent about making sure that we don't underwrite in any way shape or form the development of a biofuel supplier for one of these oil companies. So, yes, if we're going to do this and there is an opportunity and frankly we believe there is it will have to involve essentially capital or funding to the company. 
Lynne Brum: Great. Oli, thanks. The second one is what aspects of Yield10's technology would make it the right choice for this type of partner? 
Oliver Peoples: Yes. So when you look at -- it's interesting and I'm paying attention to the media in the last week I've already begun to see the pushback on the renewable or the low carbon fuel standard from the Grocery Manufacturers Association who were complaining about the price of canola oil or donuts and bread and other things. And this is only going to grow particularly in the season where some of these crops are going to be compromised by weather. So what we think is really interesting is the fact that we're very advanced in Camelina. And Camelina has these unique attributes of being a potential second crop which can actually produce an oil useful in those markets, but additionally produces more protein for food. And so it's really an exciting concept and we are pretty far along in the development of that. So we do feel that plus our underlying technology platform to improve the economics of oil production and ultimately to develop high-value Camelina for the farmers encompassing the PHA trait to open up new markets would be a very attractive proposition. 
Lynne Brum: Great. Thanks, Oli. Then the third aspect to that question was are there any critical milestones that need to be achieved to validate Yield10's gene editing solution set in biofuels? 
Oliver Peoples: Yes. So in terms of that I mean mostly what we focus is actually on oil -- seed oil content which really comes down to the cost of goods of that as a biofuel feedstock. We haven't really targeted modifying the oil composition to make it more amenable in renewable diesel, for example, reducing the amount of unsaturated groups in the oil and that will then require less hydrogen in terms of the hydro treatment. So we haven't really gone into that. But in terms of the oil content traits, we are scaling up E3902 because we've already got approval for it. We've already got it deregulated. And we've already demonstrated that it does produce up to 5% more oil in the seed. So that the new C3020 and the C3007 traits all of which are progressing in Camelina. And in the case of C3007 also in canola, we believe is a pretty good foundation for us.
Oliver Peoples: So with that I'd like to thank the shareholders who submitted these questions. And I think we'd just like to move on to closing remarks. So I'd like to personally thank all of you for joining us on the call tonight and especially, our shareholders for your continued support. We're excited about opportunities ahead of us in the second half of 2021 and on into the future as we build our business. In the near-term we are focused on promising market opportunities for oil and meal from our elite Camelina as well as on progressing commercialization of EPA-DHA omega-3 oil product I want to thank everyone at Yield10 for keeping us on track to reach our goals in 2021. Have a nice evening. 
Lynne Brum: Thanks, Maria for your help today.
Operator: Thanks, everyone. You may now disconnect.